Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoRan Second Quarter Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma'am.
Kathleen Quirk: Thank you and good morning everyone. Welcome to the Freeport-McMoRan second quarter 2015 earnings conference call. Our results were released earlier this morning and a copy of the press release and slides for today's call are available on our website at fcx.com. Our conference call is being broadcast live on the Internet, and anyone may listen to the call by accessing our website homepage and clicking on the webcast link for the call. In addition to analysts and investors the financial press has been invited to listen to today's call and a replay of the webcast will be available on our website later today. Before we begin our comments we'd like to remind everyone that today’s press release and certain of our comments on this call include forward-looking statements and actual results may differ materially. We’d like to refer everyone to the cautionary language included in our press release and presentation materials and to the risk factors described in our SEC filings. On the call today is Jim Bob Moffett, Chairman of the Board; Richard Adkerson, Vice-Chairman and CEO of FCX; Jim Flores, Vice-Chairman and CEO of Freeport-McMoRan Oil & Gas; and we also have several others from our senior operating and financial team in the room today. I’ll start by briefly summarizing the financial results and then turn the call over to Richard who will start with the presentation material included in our website presentation. As usual after our prepared remarks we’ll open up the call for questions. Today FCX reported a net loss attributable to common stock of $1.85 billion which was a $1.78 per share for the second quarter of 2015. The net loss attributable to common stock included net charges totaling $2 billion or $0.92 per share for the second quarter primarily for the reduction of carrying values of oil and gas properties. After adjusting for these special items, FCX's adjusted net income attributable to common stock totaled $143 million or $0.14 per share. Copper sales during the second quarter totaled £964 million, we sold gold of 352,000 ounces and our oil and gas sales totaled 13.1 million barrels of oil equivalent. In the second quarter we realized an average copper price of 271 per pound that was below last year second quarter of 316 per pound. Gold prices of 11.74 per ounce compared with the prior year quarter of 12.96 per ounce. And our average realized price for crude oil during the second quarter of 2015 was 67.61 per barrel which included 11.79 per barrel as realized cash gains on our derivative contract. We generated operating cash flows of 1.1 billion during the quarter and our capital expenditures totaled 1.7 billion. We ended the quarter with 20.9 billion of consolidated debt and consolidated cash, which was just under $500 million. We also ended the quarter with availability under our revolver of approximately $3 billion and under the severity Cerro Verde project loan of just over $500 million. I’ll now turn the call over to Richard who will provide additional details on our results on operations and outlook.
Richard Adkerson: Thanks Kathleen and good morning everyone. Thank you for participating in our call. I want to report on the operating and cost performance highlight of our second quarter and the first half of the year, of course in the context of a weak commodity price environment. But we have positive things to report. Our Morenci project, which is an important project for us is operating at flow of rates. Our Cerro Verde project in Peru is progressing very well, it's now more than 87% complete inline to a start up later this year and we're very pleased with the progress there. We have had improved operations at Grasberg, our mining rate, our recoveries, we’re moving towards having access to higher grade ores in late 2015 and 2016, 2017 as we complete mining in the open pit. Our labor situation is stable during the second quarter. So from a mining standpoint, we are positioned near term growth and production and also to get the benefits financially of declining costs and declining capital expenditures as we complete our expansion projects. We had a good operating quarter in oil and gas business and Jim will be talking about in a few minutes. The Lucius production reached full capacity. We had positive drilling results with our Canyon projects for our hosting and horn mounting facilities. We now have seven top-ac wells available for completion that will provide incremental production volumes in future years. We previously reported that on June 23, we filed a registration statement on form S1 with the Securities and Exchange Commission for potential initial public offering of minority interest in oil and gas subsidiary. I’ll just point out we are in registration so we have some limitations on what we can say today, but we can report on our results in and our plans for our operations as we go forward. Kathleen reviewed the financial highlights and you can see that across the board our actual results were consistent with our guidance. We did, we are able to access some hard grade gold, Grasberg so our gold production was up roughly 15%. Our cost performance was good with our net cash operating costs in our mining business be in $1.50 per pound and $19 per barrel in the oil and gas business. So again if you look at our financial highlights it reflects a strong quarter operationally. Our company remains highly impacted by copper prices of course and highly leveraged to the copper prices and copper prices have dropped here late in the second quarter as we have gone into the third quarter. And copper is of course the commodity that’s probably most effective by globally economic conditions in the current uncertainties there, the stronger dollar have contributed to the current price situation. The slowdown in the China economy is the factor and the carry on effects of the drop in stock prices in China and the impact on financial investors is certainly being shown in the copper price. Within China we do our business there, we see requirements for copper growing in absolute terms since China continuing to be a significant consumer of copper and with the countries commitment to infrastructure investment with the government's commitment to addressing the economic slowdown, we don't see China having a hard landing type situation in the summer predicting, but we have to be prepared to deal with the conditions as they evolve and we certainly will be do that as we have shown our ability to do in the past. As we talk with our customers our downstream customers in the U.S. and of course we are very significant supplier of copper in the U.S. We see recovery continuing at moderate rates and our customers being well positioned and confident about the outlook for the second half of this year, a gradual recovery Europe. So, as we have been for sometime we are facing near term price uncertainty in copper business and having to address our business in light of that uncertainty, you can develop reasonable scenarios now for prices either staying where they are dropping or increasing, but none of that deters us from our long range positive view of the long term fundamentals about the copper business. On the supply side, that minor phase continue to be constrained, inventory levels while they arose in the first quarter of 2015 remain modest by historical levels and our company is strongly positioned with our large volumes of copper production and very large inventory of reserves and resources to take advantage of what we remain confident will be a long term positive future for the copper business. Just to give view something that I have shown some of you before but just to illustrate that in broad terms on Slide 6, we show the largest copper mines in the world in terms of reserves on the left chart and in 2014 on the right chart. There is a limited number of mines here, the top 10 copper producing mines in 2014, produced less than 5 million tons per year. Another factor when we think about supply situation in the copper business there are 16 mines on these two charts. Only four of them were discovered in the last 50 years. The discovery of world class copper mines is very rare. They lasts for decades and these mines provide growth opportunities as you go forward, but it is a commodity of where the expectations or the likelihood of discovery of a new mine of world class significance is something that is rare. And then we look at the longer term copper market fundamentals, we used some WoodMackenzie data here. Other analysts use other data, some are more optimistic, some are less, but in WoodMackenzie analysis if you assume global growth at 2.4% a year for the next two years, which is not an aggressive view and that would include Chinese growth for the next 10 years, that would include Chinese growth at 3.7% where as China is growing at roughly 10% for the past 10 years you would see a requirement for copper $7.6 million ton. Over the same period production from existing mines will decline its grades drop and as mines move underground and the expectations WoodMackenzie is that would create an incremental requirement of 2.8 million ton. So when you look at growth at those levels declining production from existing mines, there is over the next 10 years at 10.4 million ton short falling copper that would need to be made up by expansions new projects or scrap and as I mentioned, the top 10 mines only produced 5 million tons last year. So that’s just an indication of a longer term needs of the world for copper and when we leave our companies well positioned benefit from that and we are focused on it. Slide 8 shows our unit cost situations. You can see that we were consistent in achieving our objectives. Our consolidated net costs was a $1.50 pound showing some benefit of the incremental gold in Grasberg, which has had net unit cost of $0.81 a pound Tenke Fungurume in Africa is performing well approximately a $1 a pound cost and our North American operations are performing well. You can see the production from our mines by region on the bottom part of this chart the growth in North America reflects the ramp up of marine sea and it is up 40% from last year with our expansion capacity South America reflects the sale of Candle area, which is in the last year's numbers and not in this year's numbers. And our third where we felt short of it’s production this year for operational reasons, but overall a good quarter. Slide 9, looks at our three major expansion projects that we targeted in 2010 following the financial crisis. We reviewed our portfolio and identified three major projects to pursue Tenke Fungurume in Phase II expansion was started in the second quarter of 2011 it was completed in 2013. Meeting our target for capital expenditures and incremental copper. The marine sea project and the mill expansion mine expansion there was completed last year it is completed performed well now Cerro Verde is approaching completion. In total these three projects will add roughly a billion pounds of copper production for us and involves a total of aggregate of expenditures of just over $7 billion very proud of our project management team and operations teams for effectively executing these projects. At Cerro Verde, which is a world-class project make it a world-class mine the detailed engineering in major procurement is complete. On completion this will be the mine with the world’s largest concentrating facilities 360,000 tons a day which is massive and impressive. Construction is advancing own schedule that’s more than 87% complete we’re preparing to gain commissioning getting videos daily pieces of equipment beginning to operate our team there is very excited and highly motivated we’ve been able to work closely with the community in doing this project. And we’ve had a minimal interruptions from our labor and virtually not from community standpoint adding 600 million pounds of copper per year. We will expect to complete this on our capital budget to-date we’ve incurred about $4 billion and committed for more than that, but it’s going very well. Slide 11, shows our growing copper production profile for the remaining of remainder of 2015 and what we’re looking for in 2016 we will be having increase in production as we go forward into the second half of 2015. So here we’ve been working for a number of years to benefit from these projects by giving us higher volumes and what we’ll call us and that’s what we’re achieving and you can see as we go forward the impact of that using today’s cost levels of declining unit cost for our company and also declining capital expenditures as we go forward. The important area of attention for our company has been working with the government of Indonesia in terms of securing mutually acceptable agreement on long-term operating rights. We have in place a contract of work our second contract that we signed in Indonesia, but it was a contract that signed in 1991 that had a 30 year primary term extending to 2021 and by it’s terms giving us a rights to two 10 year extensions beyond that in a quarter with the terms of that contract. That contract provides us the necessary, legal and physical assurance that gives us the confidence to be able to make the long-term capital investments and we’re investing $15 billion to develop our underground resources to replace the open pit reserves is just depleted. This extension requires approval by the government of Indonesia, but under the contract that cannot be unreasonably withheld. We’ve had discussions now for a number of months with the government on how the deal with our contractual lights with new mining laws and regulations that has been adopted in the country of Indonesia and what we’ve worked together with the government to do is to find a mutually satisfactory solution that provides our shareholders the confidence they need for us to continue to make an investments and also be responsive to the aspirations of the government of Indonesia and the new mining law regime. The rights under our contracts currently continue until we agree to find a way forward, which may provide may involve some limits to it as part of our efforts to be responses to the government we’re working on developing new smelting capacity in Indonesia and we’ve made significant progress in terms of identifying sites and partnership arrangements and contract arrangements for that project that would be impair well with our resolution of our COW situation. We have submitted our application for renewal for export license for the next six months and we were making progress with the government in securing that. We do have a long-term record that goes back 40 years now of working successfully in Indonesia and a positive way to partnership with a government and local community. Our operations have been the primary economic driver for development in problem we want to continue to contribute to that and be part of that as well as providing significant overall benefits to the Indonesia economy direct benefits have been $18 billion over the past seven years and the split of those benefits have been 60% for the government, 40% for Freeport. Our Chairman Jim Bob Moffett, has been in Indonesia directly involved in discussions with government officials he is there no. And Jim Bob I would like to turn the call over to you to make whatever comments you like to make.
Jim Bob Moffett : I will make some comments in Q&A but as you said as we’re making good progress and straight to good excellent guys and respect to duty timing certainly grew directionally continue as mentioned Joe, which we follow usually managing for. The primary term for 2021 and 2022 extension, so I’m here to make sure this rise since we are talking about 2041 been important time, because in that present time we’ll be finishing maybe now operating and you wanted to open to it now bring those mines going on production. It becomes the largest underground mine in the world and as you have seen we continue engineering which has been in problems. So as you’ve seen from the break actually things we measure the mines and then we made it actually I’ll be thinking on rep and we hope it’s included in next several areas. Thank you Rick and I’m further see in Q&A.
Richard Adkerson: All right thanks Jim Bob. Turning to Slide 13, operationally we've completed development of access to these underground ore bodies, which includes the deep MLZ zone, which is an extensions of our existing producing underground mine and the development of the Grasberg blockade, which lies underneath the pit and we expect the deep MLZ to start up late this year and so schedule that and Grasberg blockade to now begin production in 2018. The key development activities have been involved with overflow systems and Grasberg blockade shaft development capital to-date is total $3.3 billion, $2.6 billion net to PT Freeport Indonesia after Rio Tinto’s participation and our share of underground mine developments is expected to average $700 million a year over the next five years. And you can see in the chart below when the deep MLZ comes downstream and then the Grasberg Block Cave both these mines have very significant positive grades of copper and gold as does the Grasberg open pit and we expect after we move into the underground 1.5 year large volumes of copper and gold with copper being in the range of 1.1 billion, 1.2 billion and gold 1.4 million to 1.5 million ounces annually from 2019 to 2022, 2018 to 2022. And now to conclude the opening part of our presentation I would like to focus on our really significant inventory resources on Slide 14. Our company has proved reserves that are based on mine plans of $2 copper of over £100 billion. In addition to that, we have mineralized material that is based on 220 copper of an incremental £100 billion and beyond that we have identified additional resource potential at our existing mines. These are not greenfield projects but places where we already have infrastructure footprint operations of another £170 million. So, we have, as far as we can see in the future opportunities to invest in growth projects when the markets wants it, we’re going to be very prudent about doing that what we can do it in low risk basis and use our track record of successfully doing projects in a consistent way. When those opportunities warrant themselves and we are working diligently on looking at the next phase of growth projects as we look forward. With that, Jim Flores is here to talk about oil and gas business.
Jim Flores: Thanks Richard and good morning everyone. I'm on Page 15 of second quarter 2015 oil and gas highlights. Couple of comments. We’ve had a excellent quarter operationally both on the operating side but also on the financial side getting the S1 filed for our potential IPO later this year and that will guide lot of the restrictions on the comments I’ll be able to make today. But from the operation standpoint, we focused on low risk drilling and Tieback opportunities. As stated here on Page 15, we’ve been 10 for 10 as very successful wells since 2014. This has help to tie in all of our seismic and all the resources that we capture over the last couple of years in the lease sales and also acquisitions. And now we are enjoying bearing the fruits of all that labor. We’ve placed three wells of production in 2014 and first half of '15 that really impacts production you see. Oil production increased in the second quarter over first quarter because of that activity. We also cash operating margin has increased mainly due to prices and also lower production cost and we see our production cost of 20.26 a barrel down to 19.04. That trend is going to continue as we continue to add volumes to our fixed infrastructure and our fixed cost structure out there. And when you look at the economics of our business, it’s worth noting here, that is one of the key metrics when you look at our cash operating margin which is one the industry leading cash operating margin from the standpoint because our cost structure is low but also kind of continue to trend lower. We’re forecasting $19 to $12 on our alloys over the next four to five years as we continue to ramp up production here and our corporate costs are up $4. We’re probably going to cut those in half. So, when you look at that our cash margin has got real opportunity to grow by controlling on the cost side and even in this low price environment from there with our DDNA rate now around $26 and going forward our F&D cost below $25 a barrel. We’re basically going to build and earn some money even if this $50 oil price. It is going to be much better than 60.65, we are tuning our business for the lower oil prices but as long as it takes before the adjust back to more normalized levels. Back to the drilling, we continue to get success in a lot of tieback wells going forward to the next 12 months to 2017 and what the investors will get a vision of is as we have we call upon the success is exactly what the timing of that production is coming on. And the aspects of build models is for the value being created with the drill bit here is quite special. But news is coming for rates been very successful project operated by Anadarko, we have the sister project Hollow Berg coming on mid-2016 it’s on schedule and actually the facility is in place and secured. We’ve had a successful well with end of Vito basin, which is our Power Nap well and we’ve already spotted an offset opportunity called deep slip that we have high hopes for as well. Slide 16, the subsea development tie back strategy that’s going to drive a lot of value for our company our investors is off to a great start across the board. And our 100% owned Holstein wall, Horn Mountain, facilities we’ve actually drilled and completed well in each area or couple of wells in each area and tie back wells in to Marlin and also Horn Mountain. And we also, but we have the big Holstein deep development that we every time back next year in 2016. Over the next two years as we put bring this well along it’s going to require some downtime in each facility in our few weeks whatever to come up and so it will be actually be the following six to 12 months after that you’ll see full production response without any platform interruptions to get all the success churns of the tanks. And a big thing about our strategy in the deep water that makes us so unique is the timing of these tie backs the cycle time. We’re making discoveries and having full production wells come on like in Dorado three months paid 17 OCG 12 to 18 months and King 9 to 12 months this will accelerate going forward as we get the initial subsea infrastructure place as we had wells and floor lies to the subsea connections, which is much easier to been trying to bring them all with back to platform. So we’re also running the teams who are all doing great and we’ve overcome any kind of obstacles or challenges so forth and we look like we have some bulls guy he had is force doing something to a more repetitive basis and take some of the risk out of the situation. In Page 18, Lucius we talked about was great discovery made 2009 it’s up 80,000 barrels a day and about it’s like to processing for to May maybe fill the gas, but about a 100 of that’s ours that we have an interest in. And to six Sub Sea wells one depth of the 7200 feet is a real really pushing the more depth out there and it’s just been a fantastic project on time and at cost. And our of our project it seems to be going just the same it’s moved forward a lot of fund Lucius to help this Hollow Berg and so forth and we have a smaller as I said 2.5% but still significant for our 2016 volumes. We open Page 19, and it kind of showed a near-term growth in 2015, 2016, 2017 from the capital budget we have now production growth is going to be important but muted and from 1.3, 1.51, 1.73, because of timing of spending to accelerate the production and wells we’ve already drilled and that’s one way we’ll double to lay CapEx during this low price environment manage our business. We’ve been following S1 for the IPO if we raise capital in IPO to accelerate our business then when you look at the higher numbers of 143, 175, and 215, as potential – potential ForEx as we put on wells faster and we’ve already drilled this year and next. When you look at page 20, it’s kind of it’s subs of 70 of what prices do at various production rates you can plug in whatever you want you model that where this our cash flows live and so forth. But this we’re obviously planning on our side operation at the low end and on in the rest of the company is hoping for the high end. So you can look at that you could see they’re growing the volumes does matter it would drop right to the bottom line and it’s going to be a very significant part of our business is getting those lines up to 225. Part of copying sustaining that or increasing that from that 225 well was at our Valley area we entered the space and post the detail discovery with an 18.67% interest and the detail and we certainly grow the power in that discovery with the 50% working interest we’re very, very excited about that and that we’re drilling the other side of the basin where deep slip as well as well and we should be down sometime this quarter and hope to be in gain results from that going forward. On page 22, you can see kind of the pipeline we have built of we think are very strong set of projects that we own that are going to move the needle here to company so you can build and keep track of how we’re doing and what projects going forward. Hope to keep the success rate up and drive the size going forward. Richard turn it back to you on Page 23.
Richard Adkerson: Thanks Jim. Just to update our 2015 outlook our copper sales outlook is the same as last quarter at 4.2 billion pounds, gold at 1.3 million ounces for the year and molybdenum down couple of million pounds. And with oil equivalents of 52.3 million barrels 67% crude oil. And our unit cost per copper is not changing a $1.53 a pound that will depend on any number of factors including byproduct pricing of which is built into here at 11.50 gold and $6 molybdenum for the rest of the year. And oil at $19 that would model out with operating cash flows at 250 copper or for $3.6 billion each $0.10 change in copper for the remainder of the year is a $190 million. Capital expenditures have been reduced by a couple of hundred million dollars as we got some capital in our mining business to $6.3 billion for the year. Our sales profile looking beyond the current year you can see the growth in 2016 and 2017 both from our expansion projects, but also from the high grade that we will be having with our mine plan Grasberg you can see that in the gold sales going to 1.9 million ounces and 2.4 million ounces in 2016 and 2017. On a quarterly basis on slide 25 as I mentioned earlier we’ll be having higher volumes of copper in the second half of the year strong gold quarters as we take advantage of the grace available to it’s Grasberg and you can see our outlook quarterly for our oil and gas business our molybdenum business. Slide 26, gives the details of our net unit production cost, which consolidates $1.53 but you can see the strong numbers in Indonesia and Africa and really strong numbers in the Americas as well. And you can see our sales volumes at the bottom. On the consolidated basis and looking at cash flows we have shown here averages for 2016 and 2017 and showing copper prices ranging from 250 to 350 and EBITDA numbers at 250 copper of $8.5 billion and $11 billion and $3 billion and then with operating cash flows, which would take into account cash taxes, cash interest excluding working capital changes so $6.5 billion for 215, $8.3 million for 350 for $3. Sensitivity for that are shown or adjusting that as you see that on page 28, and then our capital expenditures are shown on page 29, you can see capital expenditures declining this year from last year and will decline further as we go forward with basically part of level of spending under this plan for our oil and gas business and robbing CapEx in our mining business is complete on making projects. Our Board is committed to balance sheet management and we got a strong track record of doing that both in good times and times with weak commodity prices we’re able to do this because of our large resource base. The cash flows that it generates in our capital discipline. We have and we’ll continue to take steps to reduce costs and CapEx look for opportunities to bring values forward through asset sales of course we have suspended our common stock dividend look forward to the time we can store that and company is committed to returning cash to shareholders. But increasing volume declining CapEx will enhance our credit metrics even in low commodity price environments. We’ve talked about looking for external funding in the oil and gas business due to this IPO that we’ll be considering that has to go through an SEC review process, which we’re making progress with now then give us the opportunity to look to go to markets here in the second half of the year and for other opportunities that might be there as well, we have $3 billion liquidity and as the extra revolving $0.5 billion facility our total debt at the end of the quarter was $20.9 billion with $500 million of cash as I said we looking forward to improving credit metrics. In conclusion our three priorities are going to be focused in this kind of commodity price environment on protecting our balance sheet, we do that by managing operation in CapEx to maximize cash flows we’re looking for oil and gas funding to take advantage of these near term growth opportunities as Jim talked about completing, we are totally focused on completing our Sierrita project and taking advantage of our expanded operations in Morenci and Tenke Fungurume and generating values in the long run from our large resource base so execution, execution, execution, execution is our focus during this challenging market conditions. With that, we would like to open the line for questions.
Operator: [Operator Instructions] The first question comes from the line of David Gagliano with BMO Capital Markets. Please go ahead.
David Gagliano: Thank you for taking my questions. My first question given the decline across the board in pricing, I'm wondering are you considering additional asset sales in this environment in addition to the energy IPO?
Richard Adkerson: Well we are looking at all alternatives. Assets sales is potentially one, other alternatives will be dialing back some of our operations to reflect the economics of the current environment. For example we are doing that in our molybdenum business were prices are week. We benefit in that marketplace because of our really strong position. 80% of the market right might or the chemical business to focus on that were realization are higher but we may limit molybdenum production in some of our bio product operations in response to prices. In 2008 we curtailed production at high cost mines to reduce cost and we’re looking at that. Presently all of our mines are positive cash flow generators but if markets deteriorate further we’re prepared to take steps to be responsive to that. So Dave we’re looking across the board at opportunities, asset sales in the mining business are possibility the markets not great as you can see from recent transactions and with our long term positive view at marketplace that will be taken into account. But all things like that are on the table and under considerations.
David Gagliano: That's helpful. On Indonesia, it's a two-part question. First of all, on the export permit, can you talk us through in the event that it's not renewed, what does happen there given what's happened previously? And then the second part of the question any other dates that we need to be thinking about for Indonesia? I thought that was a labor contract coming due at some point in 2015, that’s it.
Richard Adkerson: All right. Let me start with the labor contract. In Indonesia we have to negotiate new labor contracts every two years that's by law. And so we do have our existing contract expiring and the second half and third quarter and so we are engaged in negotiations with the union now and all reports of those negotiations are going well and we expect to get that contract renewed as we did with our last contract. And actually as I mentioned labor relations at our operations are really good right now are positive. With the export permit we expect that to be renewed. We met the requirements of the government and the - and then we’re going through the process of working with the government to get that done as we speak so we expect to get it renewed. It is important to us at the present time without the export permit, of course to be an export and right now the PT smelting, smelter at graphic has faced an operation less user requiring some repairs and is currently shut down. So it is important us to get this export permit. We believe we got a process going that allow us to do that. It’s not in anybody’s interests, government communities, workers, of course our shareholders but that's not to be renewed, expected to be renewed.
David Gagliano: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Tony Rizzuto with Cowen and Company. Please go ahead.
Tony Rizzuto: Thanks very much. Hi everyone. I wanted to also focus on the cash burn just to follow up on Dave's question a little bit. I was very pleased to hear you Richard mentioned about throttling back possibly in the production side and asset sales as well. Do you have any further flexibility in terms of capital spending and also what about the possible equity issuances beyond oil and gas IPO? How would you view those other options or are the options?
Richard Adkerson: Well, as I said all auctions were on the table, none of us, want to sell equity at this stock price, I mean you know that’s not something that any of us as shareholders and as you know we are all shareholders would want to do. Hopefully the board is going to protect the balance sheet so we are going to look at all options and see what we might need to do that. As we look forward in running our business, we are going to be prepared to be add to be consistent with what the market brings to us. So if in fact prices do deteriorate, we have flexibility in our business because certain costs both in the mining and in the oil and gas business and we will have contingency plans that allow us to do that. So we are optimistic about markets longer run prepared to deal with short runs uncertainty, prepared to bridge our business if we have to do it and operationally we have the capability to doing in it, and Tony I know I don’t need to remind you just how effective we were in doing that in 2008 and 2009.
Tony Rizzuto: I think that would be well received if that was possibly joined in terms of efforts to throttle back on output because the market surplus at least what the consultants are saying right now might not be that much out of whack and if there were some movement sooner rather than later it might help the market from getting too far out of whack. I think that would be well received. The other question I had was on Indonesia and there some reports have indicated recently that you guys have agreed to a transition from a COW to a special mining license and I guess first of these reports accurate? If you could help us understand what the main differences might be between the COW and the special mining license, what the new license arrangement wouldn't afford you similar levels of protection or might it be more subject to more frequent changes? Is there anything you can comment on at this point?
Richard Adkerson: There has been a wide range of options that been discussed with the government and different ideas have been raised for consideration at different times. There has not been a decision to convert from the contract to a mining license if that were to be done and I’m not suggesting that its likely but that were to be done we would have, it would be done on the basis of having an accompanying contract that would give us the kind of assurances on fiscal terms and legal terms that we would require. So that’s what we’re really focused on is how to we have a preservations of our rights to operate beyond the primary term by existing COW, it had a 20 year provision for continued operations and then to ensuring that the terms fiscally and legally that we have beyond the COW through an extension of the COW give us the degree of assurance. And we've indicated a degree of flexibility in working with government so long that's achievable. Achieving that within the framework of the existing laws and regulations in the country is complicated and probably the most straight forward way would be to find a way of reaching a mutual agreement on continuing the COW, but we've expressed that we would be flexible in dealing with that so long as we could achieve our fundamental objectives of assurance about operating rights, fiscal terms, legal enforceability for the long run.
Tony Rizzuto: Is an additional sell down of the stake in PTFI, is that also part and parcel part of this, these discussions as well?
Richard Adkerson: Absolutely, I mean, a year ago we signed a memorandum of understanding that covered six points that we indicated would be prepared to go forward with in conjunction, achieving the continued rights to operate with the assurance of terms that I just mentioned. And one of those is that we agreed that we would agree to sell an incremental interest in PTFI's equity to get up to a 30% Indonesian ownership. Right now the government owns 9.36%. We agreed to do that provided we had the extension of our contract and acceptable terms and that would be done at fair market value. But that was part of the memorandum of understanding that we've been had with the government now for roughly a year.
Tony Rizzuto: Right, understood. Thank you very much.
Operator: Your next question comes from the line of Michael Gambardella with JPMorgan. Please go ahead.
Michael Gambardella: Yes, good morning Richard. Just a follow up question on Tony's, on Grasberg and the contract. Is it your understanding that or the Company's understanding that you will not go forward without some type of whether it's the COW, hybrid between the COW and the licensing agreement. But that one provision that you need is some certainty of operations through 2041?
Richard Adkerson: Yes, that's right Mike. Because right now more than 75% of our reserves is going to be produced after 2021, and so these investments that we're making right now to develop the underground and we've agreed to develop smelting capacity, all of that is for the benefit of operations beyond 2021. So, we need to have that rights, those rights under acceptable terms to justify the investments that we've already made in the continued investments. And the government understands that and that's what we're are working to deal with. And the complication has been, how do you do that in the context of the current laws and regulations in Indonesia and how that interrelates to our contractual rights? But that's a necessary element.
Michael Gambardella : I mean, what's the government's response when you tell them that your contract that you signed back in 1991, supersedes any changes in Indonesian government law?
Richard Adkerson: There is an issue with the public perception of how the contract interact with the laws. The legal situation is clear cut, and so we have opted and I really believe this is the right answer, and our Board, Jim Bob fully supported is that we will be much better suited if we can find the way of dealing with this in a cooperative fashion that is responsive to the public opinion and aspirations of the government rather than just digging our heels and saying the contracts, contract. Mike, we've been through this before in other countries and other places, and so that's what we're trying to do. We're trying to achieve our objectives in a way that's cooperative, that preserves the partnership, and that is sensitive to government officials, who are subject to elections and in a democratic process they have to be sensitive to public opinion.
Jim Bob Moffett: Mike, this is Jim Bob. Let me just comment on a couple of thing. As you've seen in the press in the last couple of days, the government has indicated that they're going to extend our contract and they're going to use [indiscernible] because as a matter of fact when the MOU expires at July 27, two days from now, the new COW is what becomes the controlling document. [Indiscernible] as you've seen in some of the government announcements, it basically says that we have not changed anything. And the reason that we are offsetting our current is before we make any kind of concessions or the government makes any kind of concessions we're trying to end up with a win-win situation and that's where this thing is headed.
Michael Gambardella : One last question on Grasberg. On Slide 29 of your presentation today, where you talked about the CapEx for the Company going through 2017. I'm assuming that does not include any assumptions for new smelter in Indonesia, is that correct?
Richard Adkerson: That's correct Mike. The new smelter would involve and aggregate investment of $2 billion to $2.5 billion, and we are working on a structure that would involve project financings for it, as we did with the smelter that we built in the mid 1990s and also the potential involvement of other partners in it, but that is not included in our CapEx numbers. The bulk of that CapEx will be spent beyond 2016, 2017, because we'll do substantial work between now and then, but a lot of that work would be done on site preparation, their substantial amount of reclamation of land and preparation of the building sites because this would be located in Eastern Java in the Gresik area, near our existing smelter and the fertilizer operations in Fertilizer Company.
Michael Gambardella : From the estimated $2 billion to $2.5 billion cost, and then using as you said bringing in partners, project financing, how low can you get that down for report. Can you get it down to $0.5 billion?
Richard Adkerson: Let me do some calculations in my head. I was going to just answer, as low as we can get it. I mean, we're going do it as low as we can get it. If we say - yeah, that could be in that range -- to be in that range. Now also not included Mike, is also the proceeds that would come to us from these divestments that we talked about. I mean, we're talking about a substantial value for just over 20% interest in PTFI, and that would occur over time but those proceeds are also not included in our outlook numbers.
Michael Gambardella : Okay, thank you very much.
Operator: Your next question comes from the line of Brian Yu with Citi. Please go ahead.
Brian Yu: Thanks. Well, I also got a question on Indonesia. Richard, I think in the past you guys have laid out numbers about the financial benefits to Indonesia under the COW, and then under the new mining laws. And as you guys are going through the discussions, as we look at the possible financial impact, if you were switching to the new mining laws, is it still correct that financially there would not be material impact between royalties, tax rates, and other pieces to those?
Richard Adkerson: Yes. Well, when they talk about going to the new mining law they are insisting that we continue with our current 35% income tax rate which is higher than the general income tax rate in Indonesia of 25%. Beginning last year we need to pay the higher royalties under the mining law to get the export ban out of the way, so the financial impact right now would be essentially the same that we've had under the COW. The issue for us is to fix these terms so that we would not be subject to imposing incremental taxes either by the duties, either by the central government or the provincial government. So, we now haven't been arguing about increasing fiscal terms for the government, we all kind of agree on that. The issue for us is okay, we agree to this, this is what we live with going forward and not be subject to potential imposition of new taxes roll over these duties and fees by the succeeding governments over a long-term. And when you look at our deal with Indonesia, where the government now gets 60% of the benefits, the financial benefits, that's stronger than kind of anywhere else in the world, by international standards this is a very positive deal for the government in Indonesia.
Brian Yu: Okay. And second question maybe, switching topics, page 19, where you've outlined the potential growth on the energy aspects. So what's the incremental capital that would be required to get to 215,000 barrels per day? And then along those same lines I think, it was counted that you would do it only if the IPO is successful. Is there -- would you have to raise more the ones required to bridge the existing free cash flow short fall or is there some number that we can guide or you can guide us to, to figure out when you might go forward with more accelerated rate?
Jim Flores: Brian, this is Jim. I think the question is one and the same, right? It's what the capital it's going to take to get to 215,000 [indiscernible] it's somewhere between $1.2 billion and $1.6 billion depending on what and how we time everything of additional proceeds to get there. So if we don't hit 2015, and if we only raise $500 million, and we want to face in the spending and we want to hit 215,000in 2018, we can time that as well. So we got a lot of flexibility as to how much we raise and how much and how fast we spend it, but to support this plan is between $1.2 billion and $1.6 billion.
Brian Yu: Yes I think. So, if I understand correctly is the fund, let's say that the IPO order go through whatever funds that'll be raised would be targeted towards growing production not necessarily kind of bridging the existing free cash flow short fall, that correct?
Jim Flores: Well, the aspects of that, it would allow us to spend that money earlier and get the production up and you would have a lot less free cash flow short fall with 215,000 to 225,000 barrels a day and therefore the free cash flow short fall be a lot smaller.
Brian Yu: Okay, all right. Thank you.
Operator: Your next question will come from the line of Oscar Cabrera with Bank of America Merill Lynch. Please go ahead.
Oscar Cabrera: Thank you, operator. Good morning everyone. As you're saying, with oil and gas as we may, Jim you commented that you can get your operating cost in your oil and gas operations down for $12 BOE, what level of production would you need to get to those – that number?
Jim Flores: About 250,000 barrels a day. And the key about that Oscar, is where that production comes from. Well, it comes up from our existing 100% oil platforms that has the highest or the most dramatic impact lowering the LOE cost. Obviously we’re just doing division there with higher volumes versus the same cost structure and that's where we've focused all our dollars.
Oscar Cabrera: Okay. And then got to ask a question on Grasberg. There is a comment on the -- on your press release that says that you may reduce further for investment activity. Any negotiations on the amendment of the contract of work? Would you just put context from that, would these be if there's no resolution by the July 25th deadline how are you thinking about this?
Jim Flores: The comment is just a statement of fact that without resolution of the long-term situation we would be faced with discontinuing spending money for that long-term production needs. And so that's what we've been trying to avoid, that's not in our interest, our workforce interest, the local community's interest or the government's interest. So that's just a consequence of what would happen if we have a failure in getting this resolved. We believe we'll get it resolved as Jim Bob said, the government is saying we're going to get it resolved, so that's -- we believe that's what will happen. And so far we continue to progress our development activities based on our confidence that we'll get it resolved.
Oscar Cabrera: Thanks for leveraging. Just one more thing, if I may. In your development topic, $3.3 billion, that increased a little bit from the previous quarter and some of the projects -- the development projects around the world, CapEx has been coming down, is there any reason for the increase, anything to do with the metallurgy or the something that's happening in the underground that increased in the CapEx there?
Kathleen Quirk : Oscar, are you referring to $3.3 billion that was incurred today, what number are you referring to?
Oscar Cabrera: This is the slide where you quote the amount of money that you're spending per year, so $700 million now, was $600 million last quarter.
Kathleen Quirk : Yeah, There was some timing changes in some of the underground spend and it worked out from a rounding standpoint to get from $600 million to $700 million, but there was no material change in any of the plans. And the progress on the underground development continues to go very well and that's achieving what we have set out to achieve in terms of the development. But there has been no significant changes from last quarter, just some timing things that came into the five years and some rounding changes.
Oscar Cabrera: Okay, great. Thanks very much.
Operator: Your next question comes from the line of John Tumazos with John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Thank you very much for the generous call and the length of the call and accepting my question. Concerning the Grasberg contract negotiations, is there any guidance concerning the proceeds from the government stepping up to 20% or FCX get any cash to make it down on the debt, or would that be financed by an earn out or a loan from FCX to the government? And secondly, could you talk a little bit about the $1.2 mining CapEx budgeted for projects for 2017, does that equal $0.7 million for Grasberg underground, and then where would the other pieces of it be? And thirdly, could you tell us what are the bigger bites in $2.9 billion oil and gas CapEx, say in 2017?
Jim Flores: Okay, let’s start with the questions in order that you raised. On divestiture, there is a process that is established in Indonesia, of where incremental interest would first be offered to the government as you suggested, it would not be all at onetime, but it would be done in steps. And any transaction John, with the government would be a cash transaction, where we will not be providing financing. If the government opts not to buy the shares itself and that may well occur, we have talked with the government about the possibility of having an IPO of PTFI shares on the Indonesian stock exchange. And that would be a standard IPO that would be syndicated and we would receive the cash proceeds from that. We've also talked about the possibility of having some interest not -- certainly not 20% interest, but some smaller piece of that perhaps going to the provincial government in some sort of trust form and we might drive some financing for that piece. Otherwise, other Indonesian investors might have an interest in doing and those would be on of cash business to business type basis.
Kathleen Quirk: John it's Kathleen. The second part of your question regarding -
Richard Adkerson: John is that covered?
John Tumazos: That's very helpful. Thanks you.
Kathleen Quirk: I was going to say on the CapEx, in addition to those underground development spend we also have couple $100 million for the smelter expansion at Miami and then we’ve also got in our plans to commence the stripping for the Lone Star project which would extend the life of the Lone Star oxide which would extend the life of Stafford. So we’ve got some stripping costs reflected in 2017 as well and those are the three major components of that number.
John Tumazos: Thank you.
Jim Flores: All right, John on the oil and gas side, this is Jim, you’ve got to buy the 7 billion in Marlin and Horn Mountain, Holstein which is three key projects most of that’s but half of Marlin in the second half split between Marlin Holstein. They spend about $300 million in California and about $650 million in the Vito basin and then a couple $100 million, $100 million which is another $90 million in our gas business.
John Tumazos: Thank you.
Jim Flores: And then you got a corporate allocation of about $220 million on top of that get, up to the 2.9.
John Tumazos: Thank you.
Operator: Your next question will come from the line of Brian MacArthur with UBS. Please go ahead.
Brian MacArthur: Hi good morning. Sorry to go back to Grasberg again. I have the same question John did. If you did understand if you did a provincial thing it might like to [indiscernible] was done in the past so that’s the only piece that you would actually potentially provide financing and then the rest would just be either sell down to whoever either the government or someone else were add that timing we get cash in and if that didn’t work, that’s when you go to the public markets and just take whatever the valuation was at the time.
Richard Adkerson: No, in this is still working progress Brian, but we and government officials for sometime have seen the benefit of the public market listing that would first of all Indonesia’s stock exchange has developed into a active traded fair marketplace and we all see mutual benefits of having PTFI listed as an Indonesian company on that exchange provided we get a fair market value which you could in that marketplace. So we think that would probably be something that we would pursue with the government following the government’s decision own its owned desires for investing in the shares itself.
Brian MacArthur: Okay. So really the concept of just giving money to the provincial come out like probably very low on it, so you are really thinking about anyway you do it would be cash in the door, right away at the time.
Richard Adkerson: For the bulk of what we’re talking about if our community relation situation and again to be response aspirations of the province, we can see some benefits of working on a structured deal with the province. From that standpoint for our portion of this interest and but that all has to remained to be worked out. The province has indicated to us they might to provide third party financing for that. We and the central government want to ensure that if we do a deal with province its benefits the people, the province itself and not any third party investor so all of that has to be factored into the process.
Brian MacArthur: Great, thanks very much.
Operator: Your next question will come from the line of Steve Bristo with RBC Capital Markets. Please go ahead.
Steve Bristo: Thanks. Did I hear Jim Bob right that you guys expect to reach an agreement on a contractor work and also those permits to the next couple of days?
Jim Bob Moffett: That's exactly right. Let me just read you can look it up. It talks about the investment that we're going to be making and extending the contract for another 20years. This is probably for the minister. The minister cited said earlier the government of Indonesia does not have any intention to terminate the contract after 2021. The government we both have tried to get the agreement outlined here and if you go down to the next 2015, the Indonesian financed today which is Bloomberg announcement it says the administer once again for a point has a valid contract until 2021. The President said prepare for an investment that could. The answer is the reason why I'm trying to measure my words in negotiations is really hard on a call like this to talk about negotiations. But the answer is public statements are using what the government has done and you can verify that they want us to continue and we obviously have every reason to continue under proper terms. The proper terms are going to be we need to get the terms continuously the contract whether you talk about a mining license or COW. We need to have that's why I'm staying here to make sure that we accomplish that.
Steve Bristo: Okay. Thank you.
Operator: Our next question will come from the line of Jeremy Sussman with Clarkson. Please go ahead.
Jeremy Sussman: Yes, just going back to Slide 19 and whether or not you go through with the incremental, I think you said $1.2 billion to $1.6 billion in CapEx to potentially accelerate drilling. Is this more about how much money you might raise an IPO or more about where oil prices are accommodation of both?
Jim Flores: Well, this would be - me and my team's third IPO. It's about to solicit funds and to attract investors they got to get return to that new capital coming in at door. So the aspect is going to have growth component but what we're basically able to do is accelerate putting this wells on and create more cash flow at the company warrant. I think the investors will have a positive look on the oil prices longer term with respective of whatever oil prices are at the time in the IPO. I mean its – sense lower – because higher feature and so the aspect of that is if you look at higher volumes and better prices, I mean by 2017 cash flow neutral is a reality. If you look at lower prices longer and higher volumes you’re going to push out of 2018. So this really going to be how you look at the business and your view point going forward as far as what the investor appetite is. When it comes to size, we can sell up to 19.9% of the business and still achieve our objectives here at Freeport. So if we sell 8% of the business, 10%, 12%, 15% based on price and that amount of capital will regulate how our business will be on going forward to make sure we get into a cash neutral situation.
Jeremy Sussman: Okay, that’s helpful. And just may be just fair potential update on timing of when you might look to do this?
Jim Flores: We're still hoping this fall. Like Richard said it's up to be SEC. They've been going back and forth on our document and we're making progress there. So everything looks like it's on track to be available. Obviously market conditions will be something that we'll be watching. We're looking at this fall, I guess this is an answer.
Jeremy Sussman: Great, thanks very much and good luck.
Operator: We will now turn the call over to management for any closing remarks.
Richard Adkerson: Well, thanks everyone for joining us today and we look forward to making progress in all the issues we talked about today. If you have further questions please contact David and he will that you get your answers. Thanks for joining us.
Operator: Ladies and gentlemen that concludes our call for today. Thank you for your participation. You may now disconnect.